Operator: Good morning. My name is Eric, and I will be your conference operator for today. At this time, I'd like to welcome everybody to Lindsay Corporation Third Quarter Fiscal Year 2020 Earnings Call. All participants today will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management's current beliefs, estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor and forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I'd now like to turn the conference over to Mr. Tim Hassinger, President and Chief Executive Officer. Please go ahead.
Tim Hassinger: Good morning, and thank you for joining our call. With me on today's call is Brian Ketcham, our Chief Financial Officer. I will start with addressing the impact of COVID-19 to our employees and business. Our highest priority continues to be our employee health and safety. To the best of our knowledge, we have had nine employees globally with confirmed cases of COVID-19. Fortunately, I can report that eight of these employees have recovered and one was just diagnosed. We continue to proactively implement health and safety measures according to health organization recommendations and local government regulations. At our sites, key actions that we've taken include, ensuring employees are practicing social distancing according to guidelines, use of face coverings, enhanced cleaning and sanitation efforts and staggered production schedules. Our company continues to work from home for roles that can be done outside of the Lindsay site. Our businesses continue to be classified as business essential, and as a result of that, all nine manufacturing plants are operational and running according to the local demand level. In terms of business impact related to COVID-19 in the third quarter, the primary impact has been some project delays, but not cancellations. We continue to operate the rapid response team structure across the company that was put in place to address COVID-19-related issues, and mitigate potential risks to the business going forward. Before I provide an update on each of the businesses, I'd like to take this opportunity to thank our employees, who continue to deliver our commitments to our customers in this new environment. The third quarter in the domestic irrigation business had an earlier spring in most of our key regions. At the end of the quarter, USDA corn planted acreage estimate was 93% complete versus 64% the prior year. This past quarter has seen several unfavorable factors such as, reduced ethanol use that has driven commodity prices to a lower level. Even though, we have seen farmer sentiment reflect this significant decline in commodity prices, our year-to-date sales in the domestic business is on par with the prior year. In last quarter's earnings call, I mentioned that our year-to-date new device growth for FieldNET was up 50% plus versus the prior year. Since then, we have continued to advance the pivot watch strategy with an offering through Amazon, targeted towards the do-it-yourself market segment. Another important action this quarter was the acquisition of Net Irrigate. Net Irrigate has coverage in 37 States in two Canadian provinces, with an installed base share of the U.S. remote monetary market of approximately 5%. This acquisition aligns to our strategy and it strengthens the market leadership position Lindsay has in the IoT space, specifically as it relates to remote monitoring capabilities. In combining Net Irrigate's market share with the organic growth Lindsay has generated, year-to-date growth in new devices is 200% versus the prior year. In the international irrigation business, the global project market remains active. The delays we were experiencing in this market that I mentioned in the last quarter's earnings call have improved. Although, some restrictions that need to be managed are still in place, in general, we saw the international borders opened during this quarter, primarily in Africa and the Middle East. There has been an increase in new project inquiries driven by food security concerns. In Brazil, we continue to see growth and our recent investments to enhance our commercial capabilities have been instrumental in achieving this increase. For infrastructure, the Highways England project for supply of a movable barrier system for use in Kent, United Kingdom is currently being fulfilled. We have successfully leveraged our global manufacturing footprint to mitigate risk, and because of this action, our delivery of product is on schedule. Overall, we continue to see good progress being made in our infrastructure business. However, we did see some project delays that are connected to COVID-19. Approximately, 12 million in sales that were expected to occur in quarter three have been delayed for this reason. Regarding our foundation for growth initiative, we continue to see that the margin improvement projects we implemented are delivering as expected. I'd now like to turn the call over to Brian to review our third quarter results.
Brian Ketcham: Thank you, Tim, and good morning, everyone. My comments regarding third quarter comparisons will refer to adjusted results for the prior year, which omit the impact of foundation for growth costs that were incurred in that period. Adjusted results for the prior year are detailed in the Regulation G disclosure at the end of the press release. No adjustments were made to current period results. Total revenues for the third quarter of fiscal 2020 increased 2% to $123.1 million, compared to $121.1 million in the same quarter last year. Net earnings for the quarter were $10.1 million or $0.93 per diluted share, compared to net earnings of $5.5 million or $0.50 per diluted share in the same quarter last year. During the third quarter of fiscal 2020, shipment and project delays related to COVID-19 impacted consolidated revenues by approximately $14 million. In addition, higher production costs were partially offset by lower costs in other areas, such as travel and entertainment. The impact on net earnings for the quarter regarding these items is estimated to be approximately $4.5 million or $0.42 per diluted share. Irrigation segment revenues for the third quarter of fiscal 2020 were $93.5 million, compared to $98.6 million in the same quarter last year. North America irrigation revenues were $60.9 million compared to $63 million in the same quarter last year. The decrease resulted primarily from lower irrigation equipment unit volume, which was partially offset by the impact of higher average selling prices. A portion of the reduction in unit volume was the result of fewer storm damage replacement orders compared to the prior year. In the international irrigation markets, revenues were $32.6 million compared to $35.6 million in the same quarter last year. Higher volumes in Brazil, and certain other regions were more than offset by unfavorable effects of foreign currency translation of approximately $3.5 million, and COVID-19-related shipment delays of approximately $2 million. We expect the revenue from these delayed orders to be realized in the fourth quarter. Total irrigation segment operating income for the third quarter of $15 million was $3.4 million higher than the prior year, and operating margin improved to 16.1% compared to 11.7% in the prior year. Operating income and margin improvement resulted primarily from improved costs and pricing performance attributed to the foundation for growth initiative, as well as from increased margin contribution from technology products and services. Infrastructure segment revenues for the third quarter of fiscal 2020 were $29.6 million, an increase of $7.1 million or 32% compared to the same quarter last year. The increase resulted from higher Road Zipper system sales and lease revenues, which were partially offset by lower sales of road safety products in Europe. In addition, sales of approximately $12 million were impacted by COVID-19-related project delays. We expect at least a portion of this revenue to be realized in the fourth quarter, with the potential of some of it moving to fiscal 2021. Infrastructure segment operating income for the third quarter of $8.6 million was $5 million higher than the prior year, and operating margin improved to 28.9% compared to 16% in the prior year. Operating income and margin improvement resulted primarily from increased sales and higher margin product lines, and from improved costs and pricing performance. Turning to the balance sheet and liquidity, Lindsay is well-positioned with a strong balance sheet and sufficient liquidity, as we face the uncertainty and challenges presented by the global coronavirus pandemic. Our total available liquidity at the end of the third quarter was $171.5 million with $121.5 million in cash, cash equivalents and marketable securities, and $50 million available under our revolving credit facility. Our total debt was $116.4 million at the end of the third quarter, and of that amount a $115 million matures in 2030. At the end of the quarter, we were well within the financial covenants of our borrowing facilities, including a funded debt to EBITDA leverage ratio of 1.8, compared to a covenant limit of 3.5. At this time, I'd like to turn the call over to the operator to take your questions.
Operator: [Operator Instructions] Your first question comes from Nathan Jones with Stifel. Please proceed with your question.
Nathan Jones: Good morning, everyone.
Tim Hassinger: Good morning, Nathan.
Nathan Jones: Let's start with this $12 million bucks of deferred revenue on the Road Zipper projects. Can you talk about how concentrated this is to -- is it one project, a few projects, a whole bunch of things? Would you expect those to catch up in the fourth quarter? Does the fact that, that part of the shipment has been delayed, then delay further shipments so maybe things move out of fourth quarter into next year. Just any color you can give us on how you expect that to play out and catch up? 
Tim Hassinger: Yes. Nathan, this is Tim. The first, what is the $12 million comprise of, one medium-sized project, and then several smaller ones to your later question on that. At this point we don't know of any other delays. But I do want to say in this environment, there's always that risk that exists. But we think, as we see, look at these particular delays, then most of that delay will occur in the fourth quarter, but there could be some spillover into our first quarter '21.
Nathan Jones: So, the way we should think about it, though, is the plan is that you'll catch-up that $12 million in the fourth quarter, you're not anticipating things slipping out into the next fiscal year, but it's possible that they will? 
Tim Hassinger: There's possible, some of it will, yes. Yes.
Nathan Jones: Okay, fair enough. I think that helps.
Brian Ketcham: And Nathan, can you -- 
Nathan Jones: Go ahead, Brian.
Brian Ketcham: Just to add a little bit of color to that. And what we saw during the quarter is -- and most of this delay is in the U.S. with projects is that, procurement departments for State and local governments were directed, their priorities were directed to procuring medical supplies. And so some of the -- getting the right approvals and things like that for some of these projects got delayed as a result of that. But that situation is -- we saw some improvement as we kind of ended the quarter.
Nathan Jones: Okay. Then I wanted to ask about the funnel of new project opportunities and new business opportunities, specifically on the infrastructure side, on the Road Zipper side. And if you're seeing those progress at the same kind of pace or if maybe you're seeing some of those delays impact, when you would expect to book new work? If there could be any delays in orders that we might see from those kinds of things?
Brian Ketcham: First of all, the orders that others that outside of this $12 million that we talked about are continuing to deliver. And in terms of the funnel, Nathan and we've said this before, and we still feel this. The key point is, we're seeing more machines being leased than ever before. We've got potential projects in our sales funnel that represents more country representation than ever before. And we still claim this is the best sales funnel we've ever seen. So at this point, we still feel optimistic, looking forward, related to the Road Zipper potential.
Nathan Jones: And then just one more housekeeping one. You had about $0.20 worth of earnings hit on the other income line, below the line expense there. Can you just talk about what that was? And if we're going to likely to see numbers like that again?
Brian Ketcham: Yes, this is Brian. The increase resulted from higher foreign currency translation losses, related particularly to intercompany transactions with the foreign subsidiary. So, I would say the majority of that related to Brazil, but all the foreign currencies weakened against the dollar during the quarter. But that's impacted us, I would say on a year-to-date basis as well.
Nathan Jones: Okay. That's helpful. I'll pass it on. Thank you.
Tim Hassinger: Thanks Nathan.
Operator: Your next question comes from Joseph Mondillo of Sidoti & Co. Please go ahead with your question.
Joseph Mondillo: Good morning, Tim, Brian.
Tim Hassinger: Good morning, Joe.
Brian Ketcham: Good morning, Joe.
Joseph Mondillo: First question just to sort of, I guess, jump on infrastructure since we were on that topic. How much of the $28 million relative to the Highways England and the $10 million related to the Japan follow on? Hit in 3Q and then how are you thinking about that for 4Q and 1Q?
Brian Ketcham: Yes. Joe, this is Brian. So, first of all, with the Japan order which was $10 million, we saw just over a million of that in the third quarter. And we would expect the majority of that to be delivered or the remainder of that to be delivered in the fourth quarter. On the Highways England Project, $28 million project, $8 million approximately delivered in the third quarter. And what we had said previously was -- it's about a $5 million a month kind of a run rate. So we would expect about $15 million in the fourth quarter and the remaining $5 million in Q1.
Joseph Mondillo: Okay, great. And then just shifting to irrigation, the margins there surprised me to the upside, the year-over-year expansion and in the incrementals better than even we've seen in the past couple quarters. You mentioned that improvements to cost and pricing, as well as the benefits to your growth and technology were factors. Should we expect that sort of year-over-year benefit that incremental improvement that we saw in 3Q to continue? And was there anything sort of abnormal in the quarter that maybe made the margins maybe a little stronger than what they really sort of should be on a normalized basis?
Brian Ketcham: Yes. First of all, we would attribute most of that increase to the foundation for growth, probably roughly about $4 million for the quarter, and probably at least two-thirds of that being sourcing. So as volume -- third quarter being our highest volume quarter in domestic irrigation that was higher than what we have seen in the first couple of quarters, and will be higher than what we see in the fourth quarter. And then obviously with the North America sales volume being down, that was offsetting part of that. And then we did attribute some of the margin improvement to margin coming from basically the technology sales and services.
Joseph Mondillo: Okay. And last question for me, just on the international irrigation side, also, better than I was expecting here, especially given sort of the macro challenges that we're facing. In the last conference call, you mentioned that you were potentially seeing some delays in Middle Eastern projects, as well as some challenges with South Africa. What drove the quarter? Did you see those delays in Middle East? And how did South Africa transition? And what is the -- it sounds like the outlook is not maybe extremely strong and maybe the near-term, meaning the fourth quarter, but maybe you see some improvement in next year. Could you just expand on all that?
Brian Ketcham: Yes. Joe, this is Brian. In the third quarter, we still experienced that project delay, so that didn't -- Tim had mentioned borders opening up, that happened later in the quarter. So we'd expect fourth quarter we may see that project to start to ship. I would call out Brazil, again that market has been positive for us all year. That was up. We saw some improvement in Australia, New Zealand. Overall, the balance of the market, South Africa, I would say was relatively stable year-over-year. And CIS region is active. But overall, we were pretty, I would say pleased given the environment on the international irrigation side. That COVID impact that we saw there was all in the international market as well.
Joseph Mondillo: And just to follow-up there. With corn prices -- crop prices being where they are and just the general macro environment to see, excluding currency to see volumes up 1%. Is that a surprise and/or is that sort of not a surprise in that sort of indicative of what you think of the international markets at this time?
Brian Ketcham: Yes, I don't know that it was a surprise. I think it is a kind of indicative of where those markets are at the present time. And it's a little bit of a mixed bag, obviously Brazil is sitting very favorably with their lower currency and their farmers there are doing very well. And then you do get weather conditions. And food security is becoming a bigger topic now with, because of COVID. And so there's a number of different dynamics that come into play in the international markets.
Joseph Mondillo: Okay. Alright, thanks for taking my questions. I appreciate it.
Operator: [Operator Instructions] Our next question will come from Brian Drab of William Blair. Please proceed with your question.
Brian Drab: You nailed my last name. So, good morning. That's the first time in 15 years that's happened. So, I'm just looking at the margins in irrigation. I just want to follow-up on that. Just looking at the second quarter and the third quarter for irrigation and revenue was essentially flat from second quarter to third quarter, and then that adjusted operating margin went from about 10% to 16%. And I know, Brian, you just said it, I think $4 million in foundation for growth. But were there foundation for growth benefits in the second quarter? Or did that all just really start to show up and you get the benefit from that in the third quarter? Why such a significant step function increase from quarter-to-quarter?
Brian Ketcham: Yes. It definitely ramped up. We saw benefits in the first and second quarters. But it ramped up in the third quarter. And I would say that, we've seen not only from a sourcing standpoint, but operationally we've seen -- we're starting to see those improvements both domestically and international. We've had the focus on the international operations as well. And I would say it's more of ramp up during the third quarter. And some of it is volume related, but I would say as the projects got implemented, we expected there to be some ramp up like we saw in the third quarter.
Tim Hassinger: Just got to say then the add on to what Brian is saying is. And then we really feel confident we can say we've had improved pricing discipline during this year. So the combination of both is what we would attribute to the margin improvement.
Brian Drab: Okay. You gave the $4 million foundation for growth for the third quarter. Is that for the whole company, first of all, or just irrigation segment?
Brian Ketcham: That was just irrigation. We would say there was probably about $1 million in infrastructure, so $5 million for the quarter.
Brian Drab: Okay. And what would those two numbers that foundation for growth, for irrigation foundation for growth for the whole company have been for the second quarter?
Brian Ketcham: What we had said is first and second quarters were about $3 million each instead [ph] of $5 million so we're at $11 million year-to-date.
Brian Drab: Okay, got it. Okay. And can you say anything about how much pricing contributed to revenue growth? Or what the impact of pricing was in more quantified way for the third quarter?
Brian Ketcham: Yes, I would say low single digits year-over-year.
Brian Drab: Okay. And then just on these higher margin new technology products. Is there any way that give us a sense for what percentage of revenue those account for now? And how much higher those margins are than the other products?
Brian Ketcham: We haven't broken out the revenue. But on the margin side, I would think of it in terms of subscription revenue and margins associated with that type of revenue. So they're much higher than what the equipment margins would be. So we're seeing with the growth in subscriptions that Tim had referred to we're starting to see that impact on, I mean, it's impacting revenue but clearly very supportive of margins as well.
Brian Drab: Okay. And then just two more just kind of housekeeping questions. The Japan order is a $10 million total order, and we did $1 million in the third quarter. Is that right? And the balance comes in the fourth quarter, so $9 million or above?
Brian Ketcham: Yes, that's right.
Brian Drab: That's right. Okay. And then, do you have the breakdown of how it looked in terms of dry land conversion replacement?
Brian Ketcham: Yes. So for the quarter dry land was 28%, conversion 37% and replacement 35%.
Brian Drab: Got it. Okay. All right. Thanks very much.
Operator: The next question will come from Chris Shaw with Monness Crespi. Please go ahead with your question.
Chris Shaw: Yes. Good morning, everyone. How are you doing?
Tim Hassinger: Good, Chris.
Chris Shaw: Our first question is on the tax rate. I had 18% for the quarter and I think last quarter was 20%. And I feel like that's lower than -- I know typically what we'd expect for at least a full year for effective rate. Has it changed at all in terms of what you guys expect? Or is it going to be lower going forward as well?
Brian Ketcham: No, I would say the expectation is still around that 23.5%, which would probably be what we'd see in the fourth quarter. What impacted second, third quarters, part of it is a change in mix with the different tax jurisdictions, but a couple of other discrete items that affected the third quarter, some uncertain tax positions that expired.
Chris Shaw: And then, I know someone asked earlier about the other income, what you said it had a lot to do with intercompany FX transfer. I'm just trying to get a little more color on that. What is being transferred? Why does that end up in other versus maybe the FX impacts not end up in the segments themselves? Can you explain that a little bit?
Brian Ketcham: Yes, this is mostly related to intercompany balances. So the U.S. supplies components to our international sites. And then the international sites have a payable back to the U.S. So the balance on that is impacted by currency translation, traded as a transaction loss, which shows up below the line. Other impacts are with the net investment changes flow through equity, but this flows through, but below the line.
Chris Shaw: Okay. That makes sense. And just as a quick one. It seems like just from what I've been reading, that Nebraska is pretty dry this year, I'm not sure if that's right, but you guys are there. But, I also wanted to ask how big Nebraska is as an irrigation market? I know it's pretty big for you guys. So, can you give a percentage in terms of the end market for you?
Tim Hassinger: Chris, I don't have an exact percentage, but it's definitely one of the very leading States in terms of pivot irrigation. So it is a critical one for the business.
Chris Shaw: And has it been pretty dry there this year? It seems like it has.
Tim Hassinger: Yes, throughout parts. So I mean, I would describe the U.S., if you were to go across the irrigation area growing conditions. They've been favorable, but like always you're going to have some variability. And there has, it's been very hot and dry actually through lots parts of Nebraska here, over the last several weeks.
Chris Shaw: Got it. Thanks a lot.
Operator: Your next question will come from Jon Braatz of KCCA. Please go ahead with your question.
Jon Braatz: Good morning, Brian and Tim.
Tim Hassinger: Good morning, Jon.
Jon Braatz: Tim, as you look out into next year, what about the incremental foundation for growth costs might we see or benefits, I should say, see in 2021? And then secondly, some of the costs, some of the spending that might be deferred or might you might not have seen this year because of COVID-19. Will you begin to loosen up the purse strings as the economy opens up and maybe spend a little bit more on travel and entertainment, so on? Do you see that happen in 2021?
Tim Hassinger: Yes. So Jon, on the foundation for growth, one of the real exciting things on a personal side here is, we've been able to now move this into part of our culture. So what I mean by that is, we're seeing now projects coming through the stage gate process that are moving through again. So it will continue into '21 and beyond, it's really part of the continuous improvement culture that we've been working to create in the company. So, we've had the first initial projects that have come through and you're seeing the benefits of that. We've got other projects that will be coming and then we want to continue with that. The second part of your question about the purse strings, the work from home and I think this represents a lot of companies feedback, and it definitely would be our feedback has gone better than we even expected. So, I think there's going to be changes in how we approach business as a result of this. Will we do more travel than today where you could maybe use the term it's been more of a lockdown approach? Yes, but I don't see us going back to the full extent it was before. I think we found a tool here that we could use more effectively than maybe we thought of prior.
Jon Braatz: When you look at all those changes that you see maybe forthcoming, how material are they? I mean, what kind of level of spending do you think you might be able to cut relative to before, just because of what you've been learning?
Tim Hassinger: Yes. I would not put it into significant level, I would -- if I'm comparing the two questions you've got here, Jon, clearly the bigger opportunity for us is continuing through the foundation for growth, finding cost savings, et cetera, in our manufacturing or through sourcing, as opposed to continuing to have a lower travel budget.
Jon Braatz: Okay. Alright. Thank you.
Operator: [Operator Instructions] Your next question will come as a follow-up from Joseph Mondillo. Please go ahead.
Joseph Mondillo: Hi, guys. Thanks for taking my follow-up questions. Just a few. First, Tim, you sort of talked about how the planting season has been really efficient this year and very early. I missed your sort of follow-on comments related to how that affects the early part of 4Q relative to maybe last year. Could you just repeat sort of your thoughts there?
Tim Hassinger: Well, it's an earlier season, so which earlier planting season to clarify. So would lead to you anticipate an earlier fall as a result of that. We're seeing it's not as wet of a year, this year which would imply the irrigation equipment is working more, which should create an opportunity for more part opportunities, where last year we had a lot of regions that the irrigation equipment just didn't run, because there was a more rainfall than even people wanted. So, those would be the big differences in comparing last year to this year.
Joseph Mondillo: Okay. So, last year was very late in the planting season and -- 
Tim Hassinger: It was late and wet. Yes, late and wet.
Joseph Mondillo: So I guess just in terms of the lateness, does that -- do you have a tough comp in the early part of 4Q because the season was so late last year? And maybe some of the demand got pushed into early 4Q, is that a factor at all?
Brian Ketcham: Yes. Joe, this is Brian. I would say it impacted activity more within the third quarter, whereas last year, we saw a very strong May. I'd say this year was more balanced throughout the third quarter, but it wouldn't anticipate any of that impacting fourth quarter at all.
Joseph Mondillo: Okay. And then I wanted to ask, just regarding the macro picture, USDA adjusted their estimates earlier this week. That was a big surprise to the markets. Corn prices shot up, soybean prices are back up to $9. What are your thoughts on that? And just generally about farming sentiment, how are you seeing things out there?
Tim Hassinger: Yes. When we look at our domestic business and clearly what you just mentioned, Joe is very helpful with the reflection in the uptick in commodity prices. But I would also describe it as, we're in a period of high level of uncertainty. You've got several unknowns. You got the impact of COVID-19. You got the unknown on what the government support program could look like going forward. And there's clearly still some uncertainty around the U.S.-China Phase 1 deal outcome. So given those factors at this point, we still would describe -- we see some headwinds coming into our fall selling season.
Joseph Mondillo: Okay. Lastly, I just wanted to follow-up on the acquisition that you made sort of a small acquisition. But could you expand on the strategy there? And is that sort of indicative of what you're thinking? In the past, you've talked about two strategies with M&A, which is technology on irrigation and then trying to leverage your roads up around infrastructure. But just focusing on irrigation, it sounds like Net Irrigate is sort of a market share or sort of a footprint play, where you can leverage into places where maybe you're not. Is that sort of the strategy or there are other options to strategize in terms of M&A within irrigations?
Tim Hassinger: Yes. So, Joe, we see Net Irrigate as an example of what we talked about being in that area of expanding technology, not only being able to help create technology, but also increase our position in the market. So we think it aligns really well with that strategy. And they're bringing us roughly a 5% market share. And then our intent is to transition this business to the FieldNET platform. So we really see it right within that category that we have talked about, as one of the two sweet spots for us in M&A.
Joseph Mondillo: And just to follow on there. Do they have any technology that you do not? Or is it just purely a market share play?
Tim Hassinger: It's a complimentary story. They do have some things that we believe will help our offering, but the biggest value they bring to us is this market share that I talked about earlier.
Joseph Mondillo: Okay, great. All right. Thanks a lot. Good luck.
Tim Hassinger: Thank you.
Brian Ketcham: Thanks, Joe.
Operator: At this time, there appears to be no further questions. Mr. Hassinger, I'll turn the conference back to you for any closing remarks.
Tim Hassinger: Well, this concludes our third quarter earnings call. And thank you for your interest and participation.
Operator: The conference is now concluded. Thank you very much for attending today's presentation. You may now disconnect.